Michel Morin: Hello everyone, and welcome to our First Quarter 2022 Results Conference Call. Before we begin, please take a moment to review the safe harbor disclosure on Slide 2 of the presentation, which is available on our website along with the earnings release. During the presentation we will be referencing non-IFRS measures and we define these on Slide 3 and we provide reconciliation tables to the nearest IFRS metric in the earnings release and on our website. Finally, I would like to point out that the KPIs and income statement data in today's presentation exclude Honduras because the country is not in our IFRS perimeter. And we now include Guatemala, which we fully consolidate since acquiring 100% last November. And in addition, after closing the sale of our Africa business earlier this month of April, we have moved it to discontinue the operations and have represented the historicals to remove Africa. I will now turn the call over to our CEO, Mauricio Ramos, for his prepared remarks.
Mauricio Ramos: Thank you, Michel. Good morning and good afternoon, everyone. Thank you for joining us today to discuss our first quarter results. We started the year on a very, very strong note, operating and financial results are ahead of our plans. We also continue to make meaningful progress on our purpose driven commitment to build digital highways that connect people, develop communities and improve lives in the countries where we operate. The short video that you just showed was a strong testimony to that.  A few weeks ago we flipped the switch to connect the Cuna -nave communities in Panama, which have never had access to mobile data before. I was also in Honduras a couple of weeks ago to review progress on the build of new sites that would bring data connectivity for the first time ever to over 100,000 individuals. All of these also makes our brand even closer to the communities we operate in, purpose and brand working together. Now, let's go over the key highlights of the quarter, starting on Slide 5. First, we continue to sustain very strong customer growth across all our lines of businesses and in all our countries. Second, we continue to convert that customer growth into very strong service revenue growth of 4.6%.  Third, we're now fully and finally out of Africa. We are now a geographically and strategically focused provider of broadband services in Latin America exclusively. And fourth, we continue to make progress on our ESG initiatives. It's a really strong start to the year, so let's begin with our customer intake come Slide 6. In short, our customer base continued to grow at a rapid pace. On the left, you can see our postpaid mobile business. We added 320,000 postpaid subscribers in the quarter. This is our third consecutive quarter with more than 300,000 new ads. As a result, our postpaid customer base is up 27% year-on-year and is now approaching 6 million subscribers. This is because Colombia is not hitting on all cylinders and on the right is our home business. We added another 74,000 fiber cable customers in the quarter. Our fiber cable customer base is now more than 4 million up 8% over the last 12 months.  Our net ads continue to grow at this very strong pace because there's continued and pent-up demand for broadband services across our footprint. Because we stayed close to our customers during the pandemic, providing basic live service when it was needed, protecting our customers and also enhancing that closeness of our brand. And because we stayed on the streets selling, servicing, doing network maintenance, and upgrading, modernizing, and enlarging our network footprint. As a result, our brand strength has improved and customers are preparing that very same brand.  Now, please turn to Slide 7 to see the conversion of our customer growth into service revenue growth. The main and key message on the stage is simply that for a third consecutive quarter, every country and every business unit grew service revenue organically. The business is today stronger and healthier than ever across the board in every country and in every line of business. Revenue grew a healthy 4.6% in the quarter. This is consistent with our medium-term plans, and it is even a bit better than we have budgeted internally. Particularly if you consider that Q1 last year was very strong. The key highlight on this page is our B2B business, which continues to recover and grew 5% in the quarter.  You may recall that we previously said that B2B would be the last recover from the effects of the pandemic. It is now beginning to do so. Q1 posted our fastest growth in more than three years in B2B, not only because of the recovery, but more importantly because of our revamped strategic focus in this area, which we started some years ago. I will touch on these again later. Service revenue growth for Home, our fiber cable business was 5% in Q1. Growth this year was strengthened and  back-ended towards the second half of the year as we actually date our build program throughout the year, as you will see in a minute.  The other key highlights of the quarter is Colombia, which continued to accelerate hitting 8% revenue growth in Q1. So let's look at Colombia on this next slide. In short, Q1 was an exceptional quarter in Colombia with another quarter of a spectacular postpaid net ads of 260,000. We have now added 1 million postpaid subscribers in Colombia over the past 12 months. This is 50% growth in the postpaid base in a year driving more our revenue growth in Colombia to 17% year-on-year. As you know, we have invested with strategic focus to get here. The news is that it is working and our coverage and quality is at its best ever. We're adding subscribers, customer satisfaction is high, we're gaining share, and revenue is increasing with margins now beginning to expand. And please note that Q1 is our toughest comp for 2022.  Comps actually get easier in Q2 and Q3, given that the competitive dynamics changed in Colombia exactly one year ago, and also because the largest part of the investments to deploy the network to increase the commercial distribution network kind of in arms or service platforms, are largely behind us now. Said differently, we are where we wanted to be; not only fending off the new competition, but harnessing the new margin dynamic to grow our own business. Now, as you also know, the game is far from over. There is still a lot of work for us to do and we still need to invest for further growth because we still need to achieve the scale that we need in order to sustain adequate levels for profitability in the long term in Colombia.  The good news is that we are on track. And because of that, and before I move on, and I wish knowledge the clarity of vision, the spirit, the determination, and above all, the both sangre Tigo culture that Marcelo Cataldo  in Colombia, and the entire team of Colombia team are deploying. I know they're listening to this call as they usually do, and this is their work. So a big thank you to the entire Colombia team. Now, let's talk about our home business on slide 9. In Q1, we added another outstanding 74,000 net customers. We are well on track to our target of more than 1 million net ads in the next three years. Indeed, we continue to build a strong residential fiber cable broadband business, what we call our home business that is now $1.6 billion in revenue has over 4 million residential subscribers and passes about 12 million homes.  During the pandemic, we focused on increasing network penetration, and the results today speak for themselves. Network penetration is now at 34%, this makes the business more profitable and further proves the business case. And there's still room for penetration rates to grow. Many of our more mature knows have penetrations are well over 40% and the new ones are reaching our penetration levels just as we expect. So with so much demand for residential broadband, we are accelerating our network expansion just as we indicated we would do during our Investor Day earlier this year. As you can see on the right, we have now ramped up our building activity to a run rate of 600,000 homes. With this, we're trucking towards our target of around 1 million homes built per year. We're also on track for about 50% of our new builds to be fiber to the home this year.  And for effectively or the new builds to be fiber to the home going forward after that. Said even more simply, home remains really on track. Let's move on to B2B on Slide 10. So if I can recall, we told you at the Investor Day that we have been executing on a strategy to accelerate our growth in B2B. You also like to recall that we thought this segment would be the hardest hit by the pandemic and the slowest to recover. During the pandemic, we stayed close to our customer’s base and we protected it while we continued to develop that new strategy. That strategy has a number of key elements.  A more focused on clearly defined customer segmentation approach, simplifying and streamlined product set, which is anchored on high-speed connectivity and cloud and digital services and for which we have both invested internally to develop our own deep technical and marketing capabilities. And also developing product partnership with companies like Amazon and Microsoft to support our capabilities, complement the needs of our customers, and leverage the investments we have made in our Home network infrastructure, including our B2B fiber on the 13 state-of-the-art Tier III data centers that we have built over the last few years. As a result of these increased focus, we've been adding customers every quarter, especially in the fast-growing SME customer segment in which we have placed particular focus.  With the pandemic now ebbing, our B2B segment is starting to strengthen our top-line growth. B2B was up 5% in the quarter, right in line with our long-term ambition. Let's now turn our attention now to Tigo Money in Slide 11. We're making some important strategic progress. We told you just a couple of months ago that our strategy and product market are in place and that our management team and our development teams are also in place, and that we are now squarely on execution mode. In short, we're right on track with our long-term plan. Our customer, Tigo Money base is at 17% year-on-year. We are ramping up digital customer intake. We're rapidly increasing merchant acquisitions across the board.  We have now re-launched Tigo Guatemala, which is an important market for us, and we have secured all the necessary regulatory approvals to launch in Panama, another important market in the next few months. Given the potential we see, we're happy to continue to make the digital investments required to capture the long-term value of this opportunity even if this means, as it does, short-term pressure on our OCF this year. All we need to do is explain to you that this is going on and why it makes so much sense for us to continue to make these investments. Now, please turn to slide 12 for a bit of a big picture update.  The end of the quarter, we closed the sale of Tanzania. Yes, with this transaction, we are now out of Africa, as planned and as promised, and with this and with the full ownership and consolidation of Guatemala, we are now a clean and focused Latin America -only business with clear geographical and strategic direction. With the small exception of Honduras, we are now also a full consolidator of all of our businesses. Which means you can see our true revenue growth, our high profitability, our growing operating cash flow, and even our positive earnings per share and strong holding equity free cash flow. Plus earnings release is about 10 pages shorter, by the way, these days, which means it can be more easily understood. Equally important is that our journey out of Africa has freed up capital, and allowed us to focus capital and management resources to Latin America. This has allowed us to make important investments to enter Panama, Nicaragua, and to increase our ownership in Guatemala, and all of this have been great capital allocation moves. In these three countries, in all of them, we have the number one position, they're all healthy to play markets. They all have growth and strong cash flow margins, and they all have helped us increase our exposure to countries that are growing economies and stable currencies.  Panama as an investment great and all rise economy, Guatemala will grow GDP over 4% this year and the quetzal remains one of the world's strongest currencies, and Nicaragua remains one of our fastest-growing businesses as you saw this quarter on the back of strong and growing flow remedial. These investments are becoming key pillars to our equity free cash flow story for the next years to come. As we reiterated at our Investor Day, we're a purpose-driven and ESG focused business. Those things define who we are and both things gives us a competitive advantage. As you also know, we have now submitted our science-based climate targets.  We expect those targets to be validated later on in the year. And we are of course, already implementing action plans that would allow us to deliver on those commitments. About 30% of our CapEx budget this year, is earmark for projects that not only have strong returns, but will also help us improve energy efficiency and carbon emission. We've also continued to move forward with all our ESG programs. And in that regard, we're happy and proud to report that we were highly recognized once again in the most recent Great Place to Work survey in Latin America. We now ranked number 5 in Central America across all companies and in all industries and we rank in the top 5 in eight of our nine countries. This is not only great ESG accomplishment and a source of pride to all employees, but it also positions us to continue to attract the best talent across the board in all our markets. On that note, let me turn it over to Sheldon to go over the financials in detail for the quarter.
Sheldon Bruha: Thank you, Mauricio. Let me now take you to the Q1 numbers. As a reminder, and as Michel mentioned at the beginning of the call, the way we present our financials is changing this quarter with the acquisition and consolidation of Guatemala and the sale of Africa. As a result of both these changes, we will now focus your attention on the performance of the group, which includes all of our operations except Honduras, of which we own 67%, but account for under the equity method in our reporting under IFRS standards. Let's start on Slide 15 with service revenue, which was $1.3 billion in the quarter. That's an increase of 37% year-on-year due to Guatemala acquisition. Excluding the acquisition and adjusting for FX movements, organic growth was 4.6%, which is consistent with the mid single-digit medium-term growth target that was communicated at our recent Investor Day.  Our mobile business grew 4% and contributed more than half of the overall growth in the quarter. And almost all of that came from postpaid, which grew more than 9% year-on-year. This saw our performance in mobile as a direct result of the additional investments we've made in our networks and spectrum over the past couple of years, especially in Colombia, El Salvador, Nicaragua, and Panama. Our fixed business grew at 4.8% and that reflects the 5.3% growth in Home that Mauricio mentioned, as well as a 3.6% growth in the fixed part of our B2B business. Finally, you can see the FX detracted from reported growth this quarter, largely due to the Colombia n Peso, which strengthened at the very end of the quarter that was about 8% weaker on average compared to a year ago. Drilling down further on slide 16 to the service revenue performance by country, once again, every country performed better in Q1 than they did last year. Standout performances were from El Salvador and Nicaragua, which grew about 10% each, with all three business lines performing well in these two countries. Colombia had a very solid quarter, with growth of 7.8%, with our mobile business up almost 17%, and that's coming mostly from the very strong postpaid net ads that Mauricio mentioned, which is driving ARPU up almost 4% in local currency. Paraguay and Panama both had solid mid-single-digit growth, with both seeing stronger trends in mobile than in fixed.  Guatemala had a slower growth in Q1, but this was actually in line with our expectations for the quarter. As most of you know, our Guatemala business continued to grow throughout the pandemic, so the comparisons in mobile were tougher in Q1. And as we flagged in our Q4 call, Guatemala is a country where the global chip shortage has had a bit of an impact on our handset sales, and this drives new customer activations. But this situation is gradually returning to normal and we expect mobile growth to show improvement in the second half. But again, the key point here is that we had expected Guatemala would have a slower start to the year, and this was already reflecting our plans for the year. Meanwhile, growth in home and B2B in the country was very solid in the quarter. And the broader economic conditions in Guatemala were good with GDP expected to grow 4% and with inflation of around 4.5% according to April forecast from the IMF. Finally, in Bolivia, the situation hasn't really changed. Our mobile business continues to see ARPU pressure due to price competition and we are mitigating this impact for expanding our fixed business as quickly as we can.  As you know, we had slowed our build activity during the pandemic and we are now in the process of ramping our build machine here. We continue to see very strong penetration of these new nodes that we're installing, and we're hitting 20% penetration much sooner than what we had assumed in our investment case, so we're looking to accelerate our planned investments here. Okay. Turning to EBITDA on Slide 17, EBITDA of $564 million was up 56% year-on-year due to the consolidation of Guatemala. Organically EBITDA was just slightly positive, as we reinvested the revenue growth into our TIGO Money FinTech business and into customer acquisition, mostly in Colombia business.  This is actually right in line with the plan for the year and most of these investments are now behind us, and the comparisons start getting easier in Q2, especially in Colombia. Also impacting the year-on-year comparison, were lower-than-usual levels of bad debt provision and incentive management compensation in Q1 of 2021, which growth normalized in 2022. I would point out that taking all the above into account, our EBITDA margin for the group was a healthy 40% for the quarter and the sequential increase from the margin in Q4. Now looking closely at EBITDA performance by country on slide 18, leading the pack in the quarter was Paraguay up 9% with a margin of 46%. And this good performance is as a result of operating leverage after four consecutive quarters of positive revenue growth, driven in large part by an improving pricing environment in our mobile business. El Salvador, Panama, and Nicaragua delivered solid mid-single-digit growth as we have come to expect from these countries.  As I mentioned earlier, Colombia continues to be impacted mostly by increased sales and marketing expenses to support that accelerated customer growth over the past year, and we'll start to lap that increased marketing spend in Q2. EBITDA in Colombia was also impacted by the in-sourcing of a network services contract that was not renewed and from the impact of a government-mandated 10% increase in minimum wages in January, as that country is seeing higher inflation than in most of our other markets. But despite these cost challenges, the EBITDA margin Colombia and grew on a sequential basis this quarter, reflecting our ability to find savings to offset such increased operating costs.  Guatemala was up only slightly basically in line with the service revenue growth, which I just discussed while Bolivia and Honduras were down about 3%. And both markets are seeing heavy competition in mobile, which is impacting ARPU. Higher energy costs are also having an impact in many countries, but so far we've been able to offset that impact with savings in other areas. As a reminder, energy costs represents about 2% of sales across our markets. Moving to Slide 19, you can see how our operating cash flow, that as EBITDA less CapEx compared to the previous year. Operating cash flow of $365 million in Q1 was up 51% year-on-year due to Guatemala. Organically, it was down 7.6%, and that's because of phasing of our CapEx for the year. As most of you know, the timing of CapEx spend can change a lot quarter-to-quarter. So the first quarter of a year doesn't always give you a good indication of how the year is trending. Last year CapEx was heavily weighted towards Q4.  This year, we're planning our CapEx spend to be more equally spread than in years past, as we are accelerating our revenue-generating projects as much as possible to more quickly benefit from them within the year. The key message here is that we are on track with our plans for the year. In fact, or service revenue, EBITDA, and operating cash flow were all ahead of our budgets in Q1. We continue to target 2022 CapEx of around $1 billion as discussed at the Investor Day. And we're on track towards our operating free cash flow growth target of 10% on average over the next three years. Finally, let me close on the leverage situation on Slide 20.  During the quarter, we were active in the debt capital markets, issuing a new five-year sustainability bond for $2.25 billion U.S. trona, which we immediately swapped into U.S. dollars. The proceeds will fund climate and social project categories in accordance with our framework. Our Guatemala business also issued a new 10-year $900 million bond and the proceeds were used to repay a significant portion of the bridge loan used to acquire the remaining 45% of that business. As of the end of the quarter, we had $450 million remaining on the bridge, but we used the proceeds of Africa to pay that down to $350 million as of today.  As you can see on the slide, our equity free cash flow was negative $69 million in the quarter, which reflects usual seasonal patterns in our working capital and CapEx spending. Our net debt declined by $90 million during the quarter. That largely reflects the disposal of our Africa business, which was discontinued in the quarter. That sale took place on August 5th after the end of Q1, so our net debt and leverage metrics at the end of March do not yet reflect the cash proceeds of about $100 million that we received from that sale. We also continue to move forward with our plans to complete a $750 million rights offering, and you should have seen that earlier today, we announced the x-rates date of May 12.  We plan to use proceeds to pay off the remaining $350 million of the bridge and for general corporate purposes, including repayment of debt, liabilities and other obligations. Adjusting for both the African disposal proceeds received in April and for the rights offering, we ended with leverage of 3.09 times or 2.96 times if we exclude the impact of leases, and we reiterate our target of leverage to be below three times by the end of the year. And with that, I'll turn the call back over to Mauricio to wrap up.
Mauricio Ramos: Thank you, Sheldon. Before we take your questions, let me recap the key highlights for the quarter. First, we had another strong quarter in terms of customer growth, especially in postpaid and B2B. Second, we're ramping up our home fiber builds and we expect this will drive faster growth in home in the second half of the year. Third, service revenue growth of 4.6 in Q1 is right in line with the medium-term targets that we outlined at the Investor Day and we're getting the customer growth, we need to sustain this level of growth going forward. Fourth, we continue to win in Colombia, as you can see from our very strong postpaid mobile performance over the past year, and this is helping us to transform our overall business in our country. And fifth and finally, we continue to make significant progress on all the commitments we made to you at the recent Investor Day. And in case you have already forgotten, let me remind you of that press release that we published with all the key coming years we have made as you can see on Slide 23.  Here it is once again all in one page, eight commitments that will generate and unlock significant shareholder value. You haven't done so already, take a digital forward or print the press release and bring it to our meetings. Theses is what the plan is, hold us accountable to deliver it, the key message today is that we are squarely on track to deliver on all of these key initiatives, its great start off the year, it’s a great start towards these initiatives. We're now ready for your questions.
Michel Morin: All right. Thank you, Mauricio. We will now move to the Q&A session of the call. If you'd like to ask a question, please remember to send us an email at investors@millicom.com and we will add you to the queue. With that, we will take our first question from Marcelo Santos from JPMorgan. Marcelo. Okay. I can see you now.
Marcelo Santos: Sorry. Hope you can hear me?
Michel Morin: Yes.
Marcelo Santos: First question I wanted to ask was about the credit environment in Colombia, not on your bio side but on the fix side. Yesterday we heard America  make a comment that the broadband environment had deteriorated, so I wanted to hear your views on that? And the second is also the competitive environment in Paraguay. There was a CEO of one of your mobile competitors and also wanted to understand how we see on the fixed side against Telecom Argentina? Thank you.
Mauricio Ramos: Let's start with Paraguay because I think Paraguay is a country where for quite a bit of time, you heard us say that we had all the goodies and all the toys to really perform there. The spectrum that we bought earlier on, the network build-out that we did, the soccer and content part of it, and a state-of-the-art position both in fixed and mobile. And some years ago, maybe three, we put in a new team in place, put in a very, very strong customer-driven strategy. We reworked our product. And what you see today is that we're growing quite well in Paraguay.  We've continued to secure the soccer rights, we've continue to build and penetrate networks in Paraguay on the fixed side, and mobile has started to come back. And as a result of all of that, you see Paraguay now for just a couple of quarters back to growth. So Paraguay is a market where I think we got it right, Marcelo, quite honestly, after a little bit. And it is one of our high performers today. With the benefit addition or the additional benefit that it is one of our really good cash flow performance.  It's got high-margins, but nominal market position today, better product mix and a better competitive pricing. And we're certainly not only withstanding but thriving in otherwise. Now a little bit of context going forward, as you know, product YGE's where our Tigo Money product is the most advanced, where we try to the most.  will become a testing pull for us to see what else we can do with Tigo Money. And we would only do that if we felt that we got everything else in place as we feel we do. So now we're asking the Paraguay team to focus on TIGO Money as well to see where we can move forward. Colombia, as you can see and again, I've got to go back a few years. This is not a quarter story, this is a continued story.  Just a year ago on this call, we were all scrambling to figure out whether TIGO was a challenger or TIGO was a defender. I quite frankly told you, this is it for us, we are a challenger in this market. Finally, we have an opportunity, we got the spectrum, we got the network, and we’ve got the teams we've deployed. We're going to invest for this and you see that on mobile, it is working. It really is working where any other subscribers, we're not only sending off the competition, as I said on the call, but actually growing in this very market place. Fixed in Colombia.  Big picture on what's going on in Colombia. We're the second largest fiber cable network in Colombia. Increasing penetrations as you saw, we're building in Colombia in areas where we think there's greenfield, great opportunities in Colombia. And there is indeed a little bit more price competition in the market. But we are growing through that, if you look at our fixed growth in Colombia is still pretty healthy. And we continue to bring in the customers. Two key cause I'm sure it's on your mind, Marcelo. Two key things, we will have access to the Bogota market going forward, because the fiber in Bogota, which we don't own is being opened up. The players in Bogota that have fiber are opening it up. We are the natural , if you will, for that fiber.  Remember, we're not really in Bogota. So that's upside that we have but the market doesn't really have something that as you know, we've been expecting for a long time. And while we are in the Colombia context, we're beginning to see a very interesting move towards more and more broadband-only place. This happens mostly in Colombia, but everywhere else. And we actually think that's a good thing, Marcelo. You've seen it happen in the U.S. We've been positioning ourselves for that with our supermarket of content; Amazon, Netflix, Deezer, everything that we have. And what we're beginning to see is an environment in which those broadband-only come with lower output, sure, at better margins and lower CapEx. So they are actually accretive to our OCF.  I think we're the best positioned in that broadband fixed market because we've got the mobile as well. So it becomes a true movement of broadband fixed and mobile on which we can layer high-margin content supermarket on top of that. If I missed anything, you let me know.
Marcelo Santos: Perfect. No thank you very much.
Michel Morin: Alright. Thank you Marcelo. Our next question is coming from Soomit Datta at New Street Research. Soomit.
Soomit Datta: Yes. Hi there. Thanks for letting me ask a question. A couple please. First of all, on Panama, we've had an announcement from  sell who were looking to exit the market, be great to get your perspectives on that. I think also specifically, is there any opportunity to pick up either infrastructure assets or spectrum which may become available. Do you know what the process is in that market when an operator hands back or essentially shuts down the business? Any steer on that would be great. Maybe I'll start with that question, please, and then follow up with another one.
Mauricio Ramos: Panama for us has been one of the better investment decisions should we taken, if not the best over the last, the years have been around. You know the story Soomit, its economy, our business plan have buying into fixed, defending, sustaining, growing fixed, done, done really, really well, we continued to grow and fix but on top of that layering, cross-selling into mobile, which we have done. So overnight we become, -- no, it’s taken us three years, we become the number one player in Panama on a dollar economies with use for the margins that we're driving already.  In our minds, long-term Panama is a small market with fairly developed telecom infrastructure hours and our main competitors, so it is a healthy subscriber focus investment country. So in that regard, we always imagine that it would long-term become close to a 2-player market. So whether Digicel stays on or doesn't stay on, it really doesn't significantly change what we thought was and what we are delivering on. Our focus in Panama elsewhere to the area honest with you, is largely organic.
Mauricio Ramos: We don't want to distract ourselves with picking these or that up because we're driving the brand, we're being preferred by customers, and we’re driving volumes, sustaining outputs. We want to be very, very focused organically. And in addition to that, I think you may have seen this development of Panama as released at really reasonable prices, AWS spectrum, which we will be picking up. I think we're in the process of buying it and acquiring it. So we picked up the spectrum that we need. And Panama has historically had a really good spectrum policy, which is parity of spectrum for everybody. So -- and we think that is a really good, really good spectrum policy going forward. Predetermined prices, reasonable prices, spectrum parity. So quite frankly, that's a good set up. Nothing that needs to be disruptive there.
Soomit Datta: Okay. That's really helpful. Thank you. And follow-up question, please. Just a bit more detail, maybe it's one for Sheldon. But on the corporate posts, it's only been when we just simply kind of talked of the individual country EBITDAs and then compared that to the headline, the new IFRS headline EBITDA, the corporate cost seems to be around $35 million if I've done that correctly. I thought that was going to be running at near $50 million going forward, and presumably that was going to be where some of the extra Tigo Money post was going to be booked as well. So do you mind just helping clarify have I misunderstood that? Is there anything happening within this quarter, please?
Sheldon Bruha: Yeah, I think you have misunderstood that. We should come back with  to some around -- some of the calculations. I know we should be right closer to 45 and 35 if you do the math right. And we would have the -- we did have the Tigo Money investment consistent to where we talked about it with you at Q4. So there was just a roundabout just under $110 million of investment in Tigo Money in the quarter, consistent with what we're expecting for the full year about that -- about $40 million over the year constant on that basis.
Soomit Datta: Okay. That's great. Thanks, Sheldon.
Michel Morin: Alright. Thanks so much. So we'll take our next question now from Vitor Tomita at Goldman Sachs. And as a reminder, if you have any questions, please send us an email at investors@millicom.com. Vitor, the floor is yours.
Vitor Tomita: Hello. Good morning, everyone. And thanks for taking our questions. So two questions from our side. The first one, you've touched on it briefly during the call, but could you give us some more color on the current general environment and the hedger competition in Bolivia and Honduras. And the second question from our side would be as you improve cash flow and as you take strategic measures to raise additional cash, like the tower carve outs potentially Tigo Money  rights offering, do you see any room in the medium term for further acquisitions up remaining stakes in businesses or for entering new markets? Thank you.
Mauricio Ramos: All right. Thank you, Victor. A lot is in there. Bolivia first, is a market that with the exit of Trilogy or the sale of Trilogy into what's effectively an unknown new player there seems to be going increasingly towards a two player market, which I think is a good development. Over the quarter you have had Panama and Bolivia consolidate further into two player markets. And I think that's generally a rational good for the local economies trend because two stronger players can invest in more, and you can do so in a more sustainable manner. In Bolivia, as you know, the competitor is state-owned and their policy of competition seems to be one in which volume and both pricing is a strategic outcome. As a result of that, and this is a matter of public knowledge, that the finances of the state-owned company continue to be pressured. In medium-term, long-term, we believe there's going to have to be a balancing act. And the competitive nature of that market today is on low by the way, in which the long-term finances of the state-owned entity have to come into play with more long-term balancing investment base capacity. I'm saying that in a very diplomatic manner because I think that's what the long-term outcome there is. And that's what's going to secure that the country continues to invest in the infrastructural needs. In addition to that, Bolivia is largely highly competitive as you see today on pricing on mobile. But in the meantime, we continue to grow really healthily on fixed. And we've continued to deploy our fixed network in fixed, which increasingly gets really good penetrations. As a matter of fact we wish we had been able to build a little bit faster in Q4 and Q1. But we are ramping up in Bolivia to where 100% strengthened to growing Bolivia. So overall, I think Bolivia is a healthy sustainable investment place for us to continue doing what we're doing. Even if we have to go through this mobile pricing moment.  Honduras, I think is the one country where just like, you know, remember El Salvador two years ago,  we said we got to get it right. I was in Honduras a couple of weeks ago reviewing our plans. I am now quite comfortable that we're going to get it right in Honduras. It's a two-player market is one in which we're done all the things that you would have expected us to do. So we're modernizing the network, investing a little bit in this, the mobile network by the way, investing a little bit more in keyboards, streamlining our product offering. And although you can't really just quite see it in the financials this quarter, you do see it in the subscriber counts that Honduras is becoming better. And remember, Honduras is market where we have a very strong position and strong cash flow. So it reminds me a little bit of powder white two to three years ago. So just hold your breath, sit down and Honduras will turn around.  TIGO Money, as I said on the prepared remarks, we are hitting all the goalposts that we wanted to hit, in terms of the carve-outs I may just as well use your question to update everybody that we are on track in terms of preparation for those bringing in advisors, doing all their proprietary works. So all of those things are moving along just as we expected, we got advisors for both projects. Both on the investment banking side and on the accounting side, we've got management changes in play and of course TIGO Money is, as you've seen already on execution mode and doing so quite well. And lastly, cause yours was a handful of questions, Vito.  On M§A as we said during the Investor Call, we're not on M§A mode. We are on operational mode, we got this amazing, really good, strong operating performance on the top line. We want to use up momentum to bring it down with operating leverage into EBITDA growth and operating cash flow growth back ended this year because we believe we're completely on track to deliver that 10% operating cash flow growth on average for the next three years and, that's not back-ended total. It starts with getting closer to that goal this year. So point I'm making Vito is that we're very operationally driven. So we're not focused on expansive M&A, now, we may need to react to minorities, etc. But that will be reactive in nature not productive in nature.
Vitor Tomita: It's very clear. Thank you very much for the answers.
Mauricio Ramos: Better.
Michel Morin: Thanks, Vitor. So next, we're going to go to Andres Coello at Scotia Bank, Andres.
Andres Coello: Yes, hello, guys, can you hear me?
Michel Morin: Perfect, yes.
Andres Coello: Good, thank you. Regarding equity free cash flow during the quarter, there was a negative equity free cash flow by $69 million. And I guess this was better than the $182 million a year ago, right? There was an improvement in terms of the negative equity free cash flow, but it seems far from guidance, which is as you said, a hundred to a billion in the next three years. I'm just wondering for 2022 what you are expecting, what you're thinking in terms of equity free cash flow, or how you are going to turn from these minus 69 to a positive number throughout the year. That's my first question. And my second question will be if you can just give us a general update on the infrastructure sale. Perhaps a little bit on timing when you will expect this to happen. Thank you very much. I'm making everybody uncomfortable by starting to answer this question because we have this rights offering and apparently I cannot give you 2022 numbers, blah, blah, blah, blah, blah, blah, so you can see them all sweating because I'm going to give you the goods.  I'm going to pass it over to Sheldon so they don't sweat about it. We've already said that we're ahead of our internal budget on revenue, EBITDA, and operating cash flow, I think we said that largely even Sheldon said earlier on his prepared remarks. That gives you an idea we're on track. Equity free cash flow on a given quarter is a large result of how much we've spent on that year. A 12-order period, which is a three-year period, it really shouldn't be an indicator of what's going to happen ultimately. What I can tell you on this is we are squarely on track on all the operating metrics, revenue, EBITDA, OCF, ahead of our internal budgets in all countries. I even thought of giving you the numbers but then the guys can get really upset. We are on track operationally. And most importantly and I said on revenue, we are really getting it. And you saw operating cash flow margins. They are north 25%, right? Once we get operating leverage into the business, which we can, then it really starts trickling down at the operating level. The point I'm making is we're totally on track to equity free cash flow as we guided for the three years. And this is where everybody gets a little bit nervous. It is not all back-ended. That's as far as I can say. It's not like we're going to wait for year 3 to just show up with a billion bucks of equity free cash flow.
Sheldon Bruha: I would add to that. I mean, just a few things. We did reiterate our debt target objective for the end of the year of being below three times. Embedded in that is -- essentially is our equity free cash flow ambition within there. So that is on target. I wouldn't take way too much of what we're seeing in Q1 as being indicative of our path to getting to that $800 million to $1 billion over the three years. We're on target on that. It's really some seasonality, I think, in terms of our cash flows and working capitals move in the quarter and maybe a little bit CapEx spend being, as I said in my prepared remarks, a bit more equal across the years than maybe they have in years past where they were more back-end loaded or heavier weighted to Q4. So once again, on that point though, from a full-year perspective, we're still reiterating the $1 billion of spend and it's just how it's landing within the year.
Andres Coello: Okay. Thank you.
Michel Morin: Thanks, Andres. So Mauricio and Sheldon, we have no other questions in the queue. So Mauricio, I'll turn it back to you for closing remarks.
Mauricio Ramos: Must be that would become very simple company there, and people can just really read our results and get it. So some key messages, and I think everybody has gotten there by down. We are ahead of our plans, operationally, and we're on track to everything we committed to deliver earlier on this year. That's a key message. We're just on track and a little bit ahead. We're also in really good operational shape. I hesitate not to say that we're in the best operational shape. We've been for a long time. Revenue is growing. Every country's performing. Every  business is performing. We see momentum in the business. And with the way we reshuffle the portfolio, we now have the ability because of our high operating cash flow margins to really deliver on that equity free cash flow targets for the three years that we've set out. So we're excited, really excited about the shape of the business today.  If we shuffle the portfolio, moved to countries where we think we can have top-line growth, rate operating cash flow growth, and deliver because of our leverage, those operating cash flow targets of 10% on average on a yearly basis on $800 to $1 billion of equity free cash flow. And at the same time, we're making progress on the curve outs and also unlock shareholder value outside of the core business, Tigo Money and the infrastructure. And those of which we said basically are 12 to 24 time frame, they are on track. We're doing all the work. So just as I said earlier, we keep that one-pager with what our strategic plan is in the pocket. We review it weekly, and we're simply just ahead of track for those.
Michel Morin: Thank you.